Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Eventbrite Inc. Third Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Ron Clark, Vice President Investor Relations. Thank you Please go ahead, sir.
Ron Clark: Good afternoon, and welcome to Eventbrite's third quarter 2020 earnings call. Prior to this call, we released our shareholder letter announcing our financial results. It can be found on our website at investor.eventbrite.com. Before we begin, I would like to remind you that during today's call, we will be making forward-looking statements regarding future events and financial performance. We caution that such statements reflect our best judgment as of today, November 6, based on factors that are currently known to us and that actual future events or results could differ materially due to several factors, many of which are beyond our control. For a more discussion of the risks and uncertainties affecting our future results, we refer you to the section titled forward-looking statements in our shareholder letter and our filings with the SEC. We undertake no obligation to update any forward-looking statements made during the call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During this call, we will present adjusted EBITDA and free cash flow, both of which are non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with generally accepted accounting principles and have limitations as analytical tools. You should not consider them in isolation or as substitutes for analysis of our results of operations as reported under GAAP. Reconciliations to the most directly comparable GAAP financial measures are available in our shareholder letter, and we encourage you to read our shareholder letter as it contains important information about GAAP and non-GAAP results. And with that, I'll now turn the call over to Julia Hartz, Co-Founder and Chief Executive Officer.
Julia Hartz: Thanks, Ron. Hi, everyone, and thank you for joining us on the call today. I look forward to giving you a business update with our CFO, Lanny Baker. It's safe to say 2020 has been a harrowing year for the live events industry and no one knows this better than our event creators. They have overcome great financial hardship, while navigating constantly evolving restrictions and new safety protocols, all while continuing to bring people together at a time when you need it more than ever. Our third quarter results, which include revenue growth of 161% from the second quarter of this year demonstrates the resilience and creativity of our customers and adapting to this challenging environment. We've worked closely with our customers so that they can more easily comply with COVID related mandates. And as a result, we've seen consistent improvement since the end of March. Events like creators hosted an impressive 1.3 million events on the platform in the third quarter. To put that into context that represents 112% of the number of events hosted on the platform in the third quarter of last year. Creators are hosting smaller, more frequent and socially distanced in person gatherings, as well as compelling online events to meet consumer demand. Total ticket volume reached more than $60 million in the third quarter, representing a nearly 50% increase from the second quarter. This activity on the platform has helped drive the initial stage of recovery for our business. Paid ticket volumes grew in each month of the third quarter and nearly doubled from the second quarter. Pay tickets to in person events more than tripled from Q2 to Q3, while pay tickets to virtual events remained strong up nearly 30 times from last year. We believe these trends not only illustrate creators' ingenuity, but also their confidence in our platform's ability to deliver for them when it matters most. To give you a sense of how our platform is serving creators in this critical time for their businesses. I want to share two stories with you. I'll start with Kate Levenstien, who founded in Bootstrap Canon Ball production. She has been a frequent Eventbrite creator for over six years posting nearly 100 events on our platform in 2019 alone. She leaves a small team of foodies who have amassed a strong following for the unique experiences that they bring to life and iconic venues across the country. When social distancing restrictions halted plans in 2020 for their new hard seltzer tasting festival called Seltzerland, Kate relied on our founding pillar to always see opportunities and not roadblocks. While walking a local golf course with her husband during March, she had the inspired idea to pivot the format from stadiums to golf courses, because they're beautiful, large urban spaces, they're underutilized and the layout lends itself to a socially distanced experience. To bring the event to life safely, Kate and her team had to carefully manage the flow of attendees. To do that, they use Eventbrite to create time entry tickets, which allows them to space out the arrival times of their gap. Eventbrite's creator focused solutions have enabled their team to host six successful events this year with over 6,000 tickets sold. Kate recently told us, even though when this difficult period of time, I think we're all very creative people. That's why we're event organizers. We're resilient, we're quick on our feet, and we make it happen. We couldn't agree more with Kate. The next story demonstrates how new customers are using the versatility and ease of use of our platform to pivot their business model. Naples in the suburbs of Wheaton, Illinois cause Lezo, for the majority of its tickets to walk up visitors and did not have an online ticketing solution in place before the pandemic after being close to public visitors for three months due to COVID restrictions, Cammy Romaco, who is causing Zoos Education and Guest Experience manager needed a solution fast. She turned to Eventbrite, because she could easily set up a destination for her customers to purchase advance tickets and allow for proper capacity management and social distancing. Using Eventbrite enables the Zoos to make their visitors feel safe. Additionally, they are expanding their programming to include virtual events to schools who cannot come visit in person for now. Cammy now has the tools to be able to market more effectively in the future, and she knows and understands her customers better. This is a great example of how Eventbrite is not only giving customers control to navigate COVID requirements, but is enabling them to manage their entire program of events to build their community and help the businesses thrive. So why are we excited about the future? We believe that the ways in which the live events industry is changing will continue to play to our strengths. Events, light was created for smaller events and independent entrepreneurial creators, and we're seeing them need the recovery of live event. In fact, we attracted 130,000 new creators to the platform since the end of March. You don't have to call anyone to use Eventbrite. You don't need to sign a contract. You don't even need to be technically advanced to use the platform's full feature set. Eventbrite is a self-service intuitive product that helps creators begin promoting and selling tickets to their events within minutes. Give them the control, they need to quickly adapt to the dynamic environment Where we expect the recovery of in person events will take time. We believe that our platform is uniquely positioned to serve the needs of the independent creators, help them grow their businesses, and lead the recovery of the live experience economy. Before I turn it over to Lanny, I want to take a moment to thank our team for their dedication and the excellent work they've done to help position Eventbrite for a long-term success. Britelings have risen to the challenge of the environment on behalf of our creators and our shareholders. I look forward to working with our team in the coming years to deliver for our customers, our investors in each other. And with that, I'll turn it over to Lanny.
Lanny Baker: Thank you, Julia. Revenue for the third quarter of 2020 was $21.9 million. A significant improvement from revenue of $8.4 million reported for the second quarter. Adjusted EBITDA was $4 million for the third quarter, which includes $13.4 million in accounting benefits related to COVID-19. Excluding those items, which are detailed in our shareholder letter, adjusted EBITDA would have been a loss of $9.4 million for the third quarter. Also a sizable improvement from a comparable adjusted EBITDA loss of $26 million in the second quarter. Through a combination of improving revenue, greater operating leverage in our refocused business model and reduced operating expenses. We lowered our adjusted EBITDA loss rate to $3 million to $4 million per month during the third quarter. Looking forward, we expect to become profitable with considerably lower revenue than would have been the case before are we focusing on self-service and the significant expense reductions we've made. Paid tickets were $9.2 million in the third quarter of 2020, down 66% from a year ago due to COVID and up 96% from the second quarter. The quarter-on-quarter improvement in paid ticket volume was built on a roughly 40% increase in creators who hosted paid events, a 10% increase in paid events per creator, and a 20% plus increase in tickets for paid events. Those trends reflect a healthy balance of creator supply growth, attendee demand strength, and our own ability to bring the two together to help Eventbrite craters succeed, even amidst this very challenging time. Turning back to the financials, I want to briefly mention a couple special items that impacted the quarters result. The intention here is to help investors more fully understand the underlying business dynamics with the quarter and the year. Including in our third quarter revenue is a $2.5 million benefit from the settlement of a contract termination agreement. That benefit was offset by a $2.5 million increase to reserves for future refunds related to COVID-19. The reserve adjustment was prompted by creator refunds running at a slightly higher than expected rate during the quarter, and it was recorded as a reduction to revenue in the third quarter. Similarly, cost of revenue for the quarter includes a $900,000 benefit from refunded payment processing fees, also associated with ticket refund activity in the quarter. Finally, we made another downward adjustment to the reserve for estimated advanced payout losses during the third quarter, a $15 million reserve adjustment was recognized within sales, marketing and support expenses. If those adjustments held aside and focusing on the underlying expense trends, exclusive of those items, product and development expenses were down 29% year-to-year. Sales, marketing and support costs were down 65% year-to-year. General and administrative expenses were down 30%. And total operating expenses were down 44% or $30 million year-to-year for the quarter. All of which reflects the work we've done to redesign our operating model and substantially reduced costs during this exceptional time. These are structural changes and not temporary moves, which should increase our operating leverage for the future. Stepping away from the income statement, I want to highlight the ongoing resolution of our advanced payout balance, which stood at $220 million on November 4th, down from $253 million at the end of June, and $354 million in early March 2020. As a reminder, advance payouts reflect craters proceeds generated from ticket sale that we've advanced to craters ahead of events occurring. The APO amount is netted out from crater payable, as well as from cash and cash equivalents on our balance sheet. Historically, about 50% of ticket sale proceeds were advanced to creators before their event, and the other house was held by us and released to creators after their events occurred. As the pandemic very suddenly impacted the live events business in March, we faced an unprecedented environment for advanced payoff. In the event that ticket buyers were to seek refunds on math, and creators might have been unable or unwilling to refund their attendees, Eventbrite as the merchant of record could have been exposed to significant charge backs and liable for funding the associated ticket refund. Although losses associated with advanced payouts have historically averaged only 2% or 3% of the amounts advance, it was difficult to determine what would happen if so, many events basically postponement or cancellation. Now, with eight months of data and experience, we have a better picture of what to expect. And we're again reducing the reserve we established earlier this year to account for estimated future APO losses. A combination of creators concern for attendees, consumers support for creators and the impact of events by its own actions are helping the pre-COVID APO balance resolved in an orderly and encouraging way. Creators who have received APO from Eventbrite have refunded more than $144 million to consumers March and where refunds have not yet been issued. Many craters have communicated about rescheduling and postponements, leading most consumers to hold on to their tickets. Meanwhile, event bites made it easier for creators to issue refunds and offer credits for future events. We've also enabled consumers to donate the value of tickets toward other causes. As a result, the volume of credit card charge backs on tickets sold prior to COVID has been relatively small today. Since March, we've seen just over $4 million of charge backs against the original $354 million advanced payout balance. More recently, we've been able to recover from creators a portion of the charge backs that we had funded. Net-net, Eventbrite losses today are $2 million, below a 1% loss rate on the original APO balance. Looking forward, we anticipate until additional APO refunds and charge backs in coming quarters, and we see many APO events that are being reimagined and rescheduled to occur in 2021. We also believe it's likely there will be some pre-COVID APO amounts that ultimately go unclaimed, effectively becoming breakage. We'll continue to share details around the APO balance going forward. However, we also believe that our realized charge back losses, which have been small and predictable, thus far, maybe more relevant and indicative in evaluating Eventbrite likely APO exposure. One other factor to consider is that we've begun piloting a new APO program for a subset of our creators. This new program has far more limited availability and more restrictive terms. Since we started the pilot during the third quarter, we've extended slightly less than $8 million in advance payout. Against total transacted ticket proceeds of $320 million in that period. A $2.5 million advanced payout rate compared to an advanced ratio of approximately 50% under the prior program. This recalibration reflects purposeful changes in how we intend to manage the APO program in the future, as well as the lower appetite for APO among smaller, self-service, frequent creators who are our primary target customers. Looking ahead to the fourth quarter of 2020, in the first month of 2021, we anticipate that the pandemic will continue to pressure the near-term outlook for live events. As a result, we expect events like paid ticket volume and revenue to remain well below your earlier level. In places such as the UK and parts of Europe, where we saw very strong recoveries in our business during the summer, we've seen momentum receive as stricter limits on gatherings have been reimposed recently. In that environment, we'll remain vigilant on costs. And we now expect cash operating costs excluding processing fees to be between $30 million and $32 million in the fourth quarter, which is $2 million to $3 million lower than we have previously indicated. Putting it all together, we remain confident in the positive long-term outlook for live events. We are inspired by the resilient ingenuity and growth orientation that we see displayed by creators in our market every day. We'd like them have been working hard to help the world gather safely during these extraordinary times. And we're excited about the ways in which we are focusing and strengthening Eventbrite in advance of the full recovery that is to come. With that let's open the line for questions, please. Operator?
Operator: [Operator Instructions] Your first question comes to mind of Mark Mahaney from RBC Capital. Your line is open.
Shweta Khajuria: Okay, thanks. Hi, this is Shweta for Mark. Lanny, could you help us understand how you're thinking about the overall recovery in the industry? So the - there are a lot of uncertainties, and we're all hoping for a vaccine here soon. But how are you thinking about the speed of the recovery once the vaccine is out at scale? Do you think that Eventbrite is right back to the pre-COVID levels? How are you thinking about the face of that? Thank you.
Lanny Baker: Shweta, I think the best way for us to answer that is to reflect on a couple of experiences that we've seen in markets where the virus has been unfortunately momentarily, but it's been fairly contained. Places like New Zealand, Australia, even parts of Europe. And in those places, when gatherings have been re permitted, and when consumers have felt comfortable, and creators have had just a little bit of time to begin rescheduling events, we've seen event volume and paid ticket volume come back and come back to pre-COVID levels very, very quickly. Now, it's typically driven by smaller events. We are not seeing larger events, you get up into the hundreds and hundreds or even thousands of attendees. We haven't seen a sort of open enough environment for a long enough period of time to really see that part of the market be strong, we've seen some events of those sizes. But what we see is a very strong - very quick comeback in online events when there is a view on both sides of the market that it safe together, again, albeit in those smaller numbers that are really the core of our business.
Shweta Khajuria: Thanks, Lanny. And if I may, when do you think that will be? I mean, it's anybody's guess, but internally if you could share just a rough timeline, would it be first half, would it be midyear and next year? And that's it for me, thanks.
Lanny Baker: Shweta, I don't - I don't think we have any better view into that then others do. There's clearly all of us all around the world would love to see it happen. But it's just - it's hard to pick a date, like a projected time for it. What we will do and what we'll continue to do is work closely with our creators, whether they are a pivot to online events in an environment where in-person events are on the lower of restriction or they gear up for in-person events when that market opens up again. So we're ready. We've reduced our operating expenses, increased our operating leverage, we're staying very close to our core customers and very focused on them.
Shweta Khajuria: Okay. Thanks, Lanny.
Lanny Baker: Thank you.
Operator: The next question comes from like of Ryan Sundby from William Blair. Your line is open.
Ryan Sundby: Hi, guys. Thanks for taking my questions.
Lanny Baker: Sure.
Ryan Sundby: Just look at the 130,000 new creators we've added since March, which is a pretty substantial number when you look back at how many figures you had last year. Can you just talk or give us some color on who they are? Is there a certain type of activity that they do? And is this a group you expect to stay on and budget and eventually do come back someday? Or is this just kind of an opportune time to pick the document [ph] you didn't have to [indiscernible]?
Julia Hartz: Thanks for the question, Ryan. I think that, the [indiscernible] example is a great example of core creator that we're seeing come to the platform during this time, when they needed a solution to help them start managing their inflow of guests and really allowing for there to be a capacity management. So in Illinois, the state's requirement is you can reopen a venue like Zoo, which is outdoors, but only at 25% capacity. And so, when they were faced with that opportunity, and really eager to reopen, they looked for platforms that they could easily set up to be able to support that type of new requirement. And remember, it was a platform that everyone on the team at Causley had used for events or for buying tickets, so they were very familiar with it. And so coming on board was super friction free for them because they were familiar with the platform and then the versatility of our - of our platform being able to meet their needs and selling tickets in 15-minute increments and ensuring that they only have 25% capacity, and at any given time has just allowed them now to continue and really grow their business. So next they're looking at they turn the Zoo into a Christmas Tree farm, and they do a festival of wipes over the holiday season. And I'm sort of giving you this year tangible example because there are many, many creators like that, who have come to the platform since late March, who are essentially looking to ticket the previously unticketed, right? So we have that cohort of example. We also have people are coming to the platform to host online events because Eventbrite again, with ubiquity of Eventbrite to live events, whether they're in-person or online, we are the obvious choice for creators, we're looking for a solution to be able to host an event online, whether it be on Zoom, Vimeo, YouTube, Twitch and sell tickets to those events. And then the third are - really our core, I would say, frequent creators who are looking for a solution to start engaging their community, as markets start to reopen. And as they're really starting to build green shoots in the experience economy, because consumers in places like the UK or like New Zealand and Australia, now they're dying to get out. So we're going to see this nice surge that driven by consumer demand. And events, where we're leaning into that opportunity and making sure everyone knows about Eventbrite as the obvious solution to you.
Ryan Sundby: Supper helpful for me. And Lanny, just a quick question for you. The new kind of ACO trial program the $8 million, is that added to the $220 million number at the end of November? Or you kind of keeping those numbers separate for us?
Lanny Baker: It's in that number Ryan.
Ryan Sundby: Okay, got it. And then I'm sure I understand that - I mean, the lottery has been so low today. And you have looked down the reserve balance, I don't know like, almost half, not quite half? I mean what is it that you need to see to take that reserve balance down more, or are you excepting a higher loss rate at some point in the future? I'm just trying to understand kind of how those two things resolve themselves?
Lanny Baker: Yeah, that's a fair question. Recall, it's only been six months since we put the reserve up, and we've been tracking the data. We have a lot more today to go on than we did before. And cumulatively, we bought the original reserve now down pretty significantly. The trends look encouraging, the data continues to look promising. And we'll go through a period I think, in the early part of 2021, when there'll be kind of another reckoning of the events that have been rescheduled to the first half of 2021. Deals look like they're going to happen, there'll be another round of communication from creators to consumers about potentially, those events are going to happen, or they may be postponed or rescheduled. And if we get to that, I think that's sort of the next big window of opportunity for us to gain one more rounded insight into it. But I do think, as we said that our eyes to some degree, have shifted from watching the APO balance to watching the chargebacks and the consumer interaction. And where there have been chargebacks, or ability to recoup those funds from the craters subsequently. We've obviously been watching both all along, but in terms of emphasis and understanding, it's really the chargeback rate that's becoming kind of more, I guess, relevant or indicative gauge of what's happening with that balance.
Ryan Sundby: Perfectly. Thanks.
Operator: [Operator Instructions] Your next question comes from line of Doug Anmuth from JP Morgan. Your line is open.
Dae Lee: This is Dae on for Doug. First one for Julia, could you share your view on the role of events beyond COVID-19? Just looking at that you had before, like how much of that do you think will potentially shift still online? Then it's given the choice, which format with creators are up in these [indiscernible]? So I like to get your views on that based on your experience over the past few months? And then as a follow-up. Could just talk about the competitive dynamic in the ticketing platform landscape in general, right? How and more specifically about your competitiveness in online events space?
Lanny Baker: Yeah. Let me talk about the online experience that we've seen in those markets I described earlier where there had been a reopening. And in those markets, we saw as people were able to gather live in smaller events in-person, we saw the emphasis in the market shift pretty dramatically back toward in-person events. Interestingly, though, the volume and percentage of events and paid tickets and free tickets that remained in that environment for online events, was structurally several times higher than it had been pre-COVID. And so you know, I guess to put some numbers around it, we saw in some months earlier this year 60% of our ticket volume before virtual events, rather than - rather than in-person events. When the in-person events have recovered and people have moved up their computer screens back into the - back in the real world, we've seen that next shift back, but we're still talking about 10%, 20%, 30% of ticket volume being for virtual events. Whereas pre-COVID, that number might have been 2% or 3% or 4%. So I think there's been a structural sort of opening of a business opportunity and habit around online events there new creators in the marketplace doing retailers and others doing online events but they're not necessarily the event marketplace in the past. So - and then to me the second part, I think you have a question about the competitive dynamic?
Dae Lee: Talk about the competitive environment right now? And then specific about your competitiveness in the online industry?
Julia Hartz: Try to take that one. I think that when we look at the online event space, in particular, it's important to understand the context focus, and then competitive differentiation in our product. And context is that, we have a very attractive business and a large addressable market. And online events have been a COVID related phenomenon. We certainly see it on our platform. So it's unnatural that others would like to participate. And we've seen, increased competition, because of that. However, we're focused on the small to mid-market, frequent event creator who produced - who produces those live shows and events in-person and online. And again, I can't over emphasize how vast and fragmented that market is. This is a market that we have both created and played in for over 14 years. So virtual events have really been a nice short shock absorber for our business, and for our customers businesses during COVID, because it gives them the opportunity to stay connected to community, it also allows them to expand their audience on Eventbrite, since we have such a wide breadth of consumers globally on the platform, we're looking for these new ways to connect with one another. And then finally, the differentiation, it's simple. We live and breathe events. We are not an add-on product line. We're not a sort of virtually focused promoter and venue owner. We're the - we're horizontal technology layer that empowers anybody to use our service and our technology to sell tickets to events, promote events, and really drive engagement with consumers based on the analytics that we provide. So we think in total, there will be many competitors in this case given the newness of it, and we see it as validation of our business. In terms of on in-person event company competition, I think that's really that that market is starting to contract in our favor. I think Eventbrite is positioned given the movements we've made to fortify our business model, our strategy and our operating expenses we're positioned to be the leader in the market.
Dae Lee: Okay. Thanks for the color.
Operator: Ladies and gentlemen, there are no further questions at this time. This concludes today's conference call. Thank you for participating. You may now disconnect.